Operator: Good morning, ladies and gentlemen, and welcome to the Howmet Aerospace Third Quarter 2020 Results. My name is Shea, and I will be your operator for today. As a reminder, today's conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Paul Luther, Vice President of Investor Relations. Please proceed.
Paul Luther: Thank you, Fiya. Good morning and welcome to the Howmet Aerospace third quarter 2020 results conference call. I'm joined by John Plant, Executive Chairman and Co-Chief Executive Officer; Tolga Oal, Co-Chief Executive Officer; and Ken Giacobbe, Executive Vice President and Chief Financial Officer. After comments by John, Tolga and Ken, we will have a question-and-answer session. I would like to remind you that today's discussion will contain forward-looking statements relating to future events and expectations. You can find factors that could cause the company's actual results to differ materially from these projections listed in today's presentation and earnings press release and in our most recent SEC filings. In addition, we've included some non-GAAP financial measures in our discussion. Reconciliations to the most directly comparable GAAP financial measures can be found in today's press release and in the appendix in today's presentation. With that, I'd like to turn the call over to John.
John Plant: Thanks, PT, and good morning, everyone, and welcome to this morning's call. I plan to give an overview of Howmet's third quarter performance. Tolga will speak to segment information, and then Ken will provide further financial detail. Lastly, I will return to talk to the outlook for the fourth quarter and 2020 financial year. Please move to Slide #4. The third quarter performance was good and in line with expectations, including strong cash generation. Revenue in the quarter was $1.1 billion, down 37% year-over-year, and was impacted by commercial aerospace being down 56% driven by customer inventory corrections. We continue to expect that this is the low point for Howmet revenues while anticipating there could be some lingering inventory corrections that could carry over into the fourth quarter and possibly the first half of 2021. Commercial transportation was down year-over-year, but we had healthy sequential growth to 42%, which flavored the impacts the forged wheels and commercial transportation fastening segment. Moreover, we had growth in defense aerospace and in the industrial gas turbine business year-over-year. The mix of our portfolio has changed with approximately 40% of Q3 revenue being tied to commercial aerospace. Operating income excluding Special items was $100 million and this includes the buyout of an unfavorable long-term contract, which costs $8 million. This hopefully should be the last of the cleanup items over the last year. Segment decremental margins including the contract termination were 37% year-over-year. I had indicated on the Q2 call that the third quarter was likely to be more decremented than the second quarter and reflects that we chose not to take out costs for one quarter and risk not having the people assets in place meet what we expect to be an uptick in future demand. For example, early in the third quarter, we completed all of the people reductions in our wheel segment and I've since pull people back on furlough, I have begun recruitment in certain countries as you bring production assets back online, both of our forgings and machining lines. Structural cost reductions will continue within each of the aerospace segments to the end of 2020 and in the first quarter in Europe. Third quarter reflects further structural cost takeout of $56 million making year-to-date cost takeout of $137 million, which is ahead of target. This structural cost takeout is in addition to the flexing of variable costs, which we expect by the end of first quarter 2021 should be at a perfect flex. Further to this price increases of $14 million were achieved in the third quarter compared to $9 million in the second quarter. Year-to-date price increases are $28 million. I am pleased that all of the 2020 long-term contract negotiations are now completed and price negotiations are well underway for the 2021 long-term agreements. Now let's move to the balance sheet and cash flow. Adjusted free cash flow in the third quarter was very good at $188 million before further reductions in the accounts receivable securitization program and cash flow was $143 million after the reduction in the AR program. The $45 million of the accounts securitization reduction was effectively repayment of debt. Cash severance payments in the quarter were $14 million. The third quarter cash balance increased to $1.4 billion after the $51 million of common stock share repurchases, which were at an average price of $17.36. Our peak operational cash requirements are approximately $300 million, which results in excess cash in hand of well over $1 billion. Net debt to EBITDA is approximately 3.2 times and our revolver of $1 billion continues to be undrawn. So let us move to Slide 5. All plants are running with employee and partner safety being a top priority. We're actively monitoring employee health risks and all programs meet or exceed local standards. To best serve our customers we're effectively managing daily adjustments or customer inventory corrections and shutdowns. Regarding cost out, most of the North American permanent personnel reductions have been completed and are ahead of targets. Therefore, we will be raising our 2020 permanent cost outlook. We also continue to flex variable spend and labor effectively with revenue. Our strict and disciplined capital expenditure process has been effective. And we will once again be reducing our annual capital expenditure outlook. Lastly, we're focused on working capital, but expect it to be use of cash in 2020, as we have reduced our AR securitization program by approximately $95 million year-to-date. Moreover, we have stranded inventory, which we expect to be a source of cash in 2021. Now, let me turn it over to Tolga.
Tolga Oal: Thank you, John. Please move to Slide 6. We summarized on Slide 6 the status of our segments. Aerospace segments continue with revenue adjustments that follow slightly different trends. Let me start with the Engine Products. All those strong defense aerospace and industrial gas turbine growth continued in third quarter, commercial aerospace had expected customer inventory corrections and seasonal shutdowns. We continue to expect that third quarter will be the lowest revenue quarter of 2020 and we are ahead of our permanent cost reduction plans. Additionally, we are flexing variable labor and indirect costs with revenue. Regarding our long-term agreements, 2020 negotiations are now complete and we are actively working on 2021 contracts. Our philosophy on price has not changed. The Engine Product segment's biggest challenge continues to be managing the stranded inventory, which had a modest reduction quarter-over-quarter. Moving to Fastening Systems, the Fastening Systems segment follows the lagging, reducing revenue trends mainly due to the timing of commercial aerospace distribution business. The decline in commercial aerospace is partially offsets by growth in fasteners industrial business. Regarding permanent cost reduction, that's the largest number of European locations within our business, which impacts the timing of cost reduction actions, but follows directionally the revenue reduction threat. We are bridging this timing with heavy furloughs and effective, variable cost flexing. Maintaining our critical talent and skill sets is our priority during this period. The Engineered Structures segment has long lead time orders requiring close discussions with our customers to level of their demands for an efficient operating model for the next six to nine months. Permanent cost reduction actions are ahead of plan. Long-term agreement pricing negotiations are complete for 2020, including weeding out unprofitable products.  In the Forged Wheels segment, third quarter 2020 revenue started recovering from second quarter 2020. As John mentioned, third quarter sequential revenue was up 42% as top U.S. shipping ports are near or above record levels of volume, which drives tracking demand. We expect continued growth in fourth quarter and have called employees back from furloughs and restarted operations. We have compressed permanent costs and having effective influx in production to meet customer demand. Lastly, we renewed one of our largest customer’s long-term agreement while increasing share with our innovative, lightweight, 39-pound wheel. I will now hand it over to Ken to give more details on the financials.
Ken Giacobbe: Thank you, Tolga. Now let's move to Slide 7. So before moving into the revenue and segment profitability, I wanted to note that the third quarter revenue and profit was in line with expectations and better than the implied outlook that we provided on the second quarter earnings call. The improved performance will be reflected in the updated outlook for the remainder of the year. Now to the third quarter. Total revenue was down 37% year-over-year driven by commercial aerospace, which now represents approximately 40% of total revenue in the quarter. Moving to the right-hand side of the slide, commercial aerospace was down 56% year-over-year. Consistent with our previous outlook, we expect the third quarter to be the lowest revenue quarter of the year as customers adjust inventory levels. Regarding the remaining 60% of the portfolio, I would point out that our second largest market, defense aerospace, continues to show year-over-year growth and was up 15% in the quarter, driven by strong demand for the Joint Strike Fighter on both new engine builds and engine spares. Our next largest market commercial transportation, which impacts both the forged wheels and the fastening system segment, was down 31% year-over-year. However, as Tolga has mentioned, we are seeing favorable trends for increased demand and this market improved 42% sequentially. Lastly, the industrial and other markets, which is comprised of industrial gas turbines, oil and gas, and general, industrial was down 4%. I would point out that IGT, which makes up approximately 40% of this market continues to be strong and was up 23%. Now let's move to Slide 8. On this slide, we are providing historical information for the combined segments with an estimated operational view of corporate. Compared to the prior year, third quarter revenue declined approximately $660 million with a corresponding segment operating profit decline of $246 million. Despite the 37% year-over-year revenue decline, we remained profitable and generated strong, adjusted free cash flow in the quarter. Included in the third quarter results are continued price increases of $14 million and continued permanent cost reductions of $56 million for a combined benefit of $70 million in the quarter. On a year-to-date basis, price increases were $28 million and cost reductions were $137 million for our combined benefit of $165 million. One last comment on cost reductions of the $137 million realized year-to-date, this includes carry over benefits from our 2019 cost reduction program. This program generated $54 million of benefit year-to-date for 2020 and finished ahead of target. The program is now substantially complete. In the appendix we have provided additional information, including historical financials for each of the segments. Now let's move to Slide 9 to go into more detail on the segments. Engine Products year-over-year, revenue was down 43% in the quarter. In the segment, commercial aerospace was down 65% driven by COVID-19, 737 MAX production declines and customer inventory corrections. Commercial aerospace was somewhat offset by 18% year-over-year increase in defense aerospace and at 23% increase in IGT. Third quarter results were impacted by an $8 million charge to exit an unprofitable long-term contract. Cost reductions and price increases continued in the segment and the team continued to flex variable spending to mitigate the impact in the quarter of the significant decline in commercial aerospace revenue. Now let's move to the fastening systems segment on Slide 10. Also as expected, we experienced this deeper revenue decline in fasters as the third quarter year-over-year, revenue was down 31% driven by commercial aerospace and commercial transportation, both being down over 35%. Continued cost reductions, combined with third quarter price increases, helped mitigate the decrease in revenue. However, a weaker product mix, with less commercial aerospace and the expected delay in European cost reductions unfavorably impacted results. In the near term, we are furloughing employees to offset the delay in European cost reductions.  Now let's move to Slide 11 to review engineered structures. For the engineered structures segment, third quarter revenue was down 35%. Commercial aerospace was down 54%, driven by COVID-19 production declines on both the 787, and 737 MAX, as well as customer inventory corrections. Commercial aerospace was somewhat offset by a 26% year-over-year increase in defense aerospace. Cost reductions and price increases helped to mitigate the decrease in revenue, but structures experienced a weaker product mix with less commercial aerospace. Lastly, let's move to Slide 12 for forged wheels. In the third quarter, revenue for the forged wheel segment was down 29% year-over-year, but increased 52% sequentially as expected. Employees are returning from furloughs and we continue to quickly flex staffing at variable cost to meet changing market demand. Despite revenue being down 29%, the impact of cost reductions resulted in a healthy EBITDA margin for the quarter of 26%. Now let's move to Slide 13 for special items. Special items for the quarter was a net benefit of approximately $23 million after tax and included two items: first, a $36 million after tax benefit related to a U.S. tax law change; second, a $12 million after tax charge related to severance programs. These severance programs are tied to the permanent cost reduction actions. Now let's move to Slide 14. We continue to focus on improving our capital structure and liquidity. All debt is unsecured and our net significant maturity is in 2024. Our cash position remains strong and increased to $1.4 billion in the quarter and is expected to increase again in the fourth quarter. As we look into next year, we will use cash on hand to pay down the 2021 outstanding notes in the first quarter of 2021. A couple of additional items of note, first, our $1 billion five-year revolving credit facility remains undrawn. Second, we have reduced our AR securitization program. Prior to the separation earlier this year we historically sold $350 million worth of AR each quarter. Beginning in the first quarter of this year, the amount of AR sold through the securitization program was decreased each quarter approximately $20 million decrease in the first quarter, a $30 million decrease in the second quarter and a $45 million increase in the third quarter. The total decrease has been approximately $95 million year-to-date from $350 million of AR sold at the end of 2019 to approximately $255 million of AR sold at the end of the third quarter. The $95 million reduction in AR sold; it’s effectively a repayment of debt, unfavorably impact year-to-date adjusted free cash flow. Before turning it back to John to cover the 2020 outlook, let me review some assumptions on Slide 15. Depreciation and amortization is expected to improve to approximately $270 million for the year. The annual operational tax rate is also expected to improve and be in the range of 27% to 29% for the full year. Regarding CapEx, we’re once again reducing our annual CapEx spend outlook to approximately $160 million for the year, which is a historical low at 3% of revenue. Lastly, as a result of the common stock share repurchases in the third quarter, we’re allowing the expected fourth quarter diluted share count to approximately 437 million shares and the full year average diluted share count to approximately 439 million shares. Now let me turn it back over to John.
John Plant: Thanks, Ken. Now let me discuss the outlook for the remainder of 2020. We are improving the outlook and narrowing the ranges, the improvement strengthened the sales, increases EBITDA, increases EBITDA margins and less the earnings per share compared to the prior outlook. Revenues in the fourth quarter are expected to be $1.23 billion plus or minus $30 million and price increases are expected to continue. EBITDA are in the fourth quarter is expected to be approximately $255 million plus or minus $15 million. We are once again increasing our annual permanent cost at target to $185 million from $150 million. These are savings realized in the year. Our fourth quarter EBITDA margin is now increased to 20% to 21% from the prior midpoint of 20%. I think this may be the most significant item of our call this morning beyond the good cash generation. Annual earnings per share improves to a range of $0.68 to $0.76. Cash generation in the quarters from separation Q2 to Q4 is strong and unchanged at $450 million plus or minus $50 million despite the third quarter incremental reduction in AR securitization of $45 million. Year-end cash is expected to increase once again to approximately $1.5 billion. The event cash balance includes $95 million of annual reduction in AR securitization and $51 million of common stock repurchases at the average price of $17.36. Approximately $300 million of share purchase authority remains under prior announced Board authorization. Fourth quarter net debt of approximately $3.6 billion, which is an improvement post-separation, which was started out at $3.8 billion. As we move into 2021, you plan to use cash on hand to repay the outstanding 2021 bond maturities. During these uncertain times, we focused on the areas, which we control, including price, variable cost flexing, structural cost reductions, CapEx reductions, and free cash flow. While being prudent with our cash to opportunistically, we pay down debt and we purchased shares. Moreover, a diverse portfolio less than 50% of revenue tied to commercial aerospace is delivering strong results while we wait for commercial aerospace to recover. Let’s move to Slide 17. To summarize, our third quarter was delivered in line or better than the implied outlook. Cost and price leverage has been deployed. We have healthy and improving liquidity with positive cash flows in this COVID environment. The fourth quarter outlook improved regarding revenues, margins and profitability with earnings per share guidance raised. Now let me turn it over to take your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question will come from Seth Seifman with JPMorgan. Please go ahead.
Seth Seifman: Thanks very much, and good morning.
John Plant: Good morning, Seth.
Seth Seifman: John, I’ll have to make my one question about this news we saw recently about Pratt & Whitney planning to start building airfoils in North Carolina. And basically, how you view that, what it might reflect about customer behavior and what implications you may have for Howmet and for your own strategy.
John Plant: Okay. First of all, we’ve discussed this with Pratt, but when you reflect on the situation in the industry, we work with companies already that have their own casting capabilities. So for example, GE, Roll-Royce, Safran, all have casting foundries. And so that in itself is nothing new to us. And when we look at Pratt & Whitney, in fact, they had their own casting capability until they exited in 2016. So we have a pattern and a history of working with our customers in this environment. So it’s – I would say it’s nothing new for us. We do feel confident in our position as a innovation and technology leader, especially in the hot section of the engine. And indeed, we produce some very specialized plates, which quite extraordinary capabilities for the JSF, which is a fighter jet engine. And if I comment a little bit further, so that you can understand some of the – I’ll say depths in our capabilities. We do go to the extent of building our own furnaces. We have proprietary – core preparation, waxing, and casting processes and measuring and controlling the temperature gradient starting off with an average of 300 degrees Fahrenheit higher than the casting temperatures or maximum casting temperatures of our competitors. So well, one of the things we do is by keeping all of that production equipment in-house and really not – really speaking about how and why we do it in any technical detail, enables us to keep, I think the technology edge, and in particular, the scale that we had with it and the know-how capability. And I think as you know, we’ve been in this business now in the 50 or 60 years. So I think we have all three levels of casting capabilities and all of the sub-processes, and to replicate that – which Howmet has. We probably take in the region of towards $10 billion of capital plus or minus. So I always absolutely expect everything that our customers do. And probably more importantly, we have a competitive environment already with other competitors. Currently, we are the market leader by probably 1.5 times, but I think it comes down to those very unique capabilities that we have and the experience of working very collaboratively with our customers to do the most extraordinary applications, where they already have in-house capabilities. And so this would mark Pratt & Whitney returning to being a having in-house capability alongside GE Aviation, Rolls-Royce and Safran. So hopefully, that covers it up for you.
Seth Seifman: Okay, very good. Thanks very much.
John Plant: Thank you.
Operator: The next question will come from Robert Spingarn with Crédit Suisse. Please go ahead.
Robert Spingarn: Good morning. John, two things. First, a clarification on what you just said, and then a question. Just specifically on Pratt, how protected is that position with contracts and LTAs, if you think about your overall revenue there. And then just given your visibility on commercial aero, which I don’t know if it’s any better than anybody else’s, but you seem to have the confidence. Want to guide up today to buy back stock. Can you talk about trends from here on that 56% decline in Q3 in commercial aero revenue? How you’re thinking about that percentage number as we go forward the next few quarters. Thank you.
John Plant: Okay. I don’t think it was much to add to the Pratt & Whitney conversation. We do have a long-term agreement covering menus in place. So I think that’s the good in all of this. So unless anything else, I’ll move on to how we see the balance of year and into 2021 for us. We did call out the third quarter in a previous earnings call in early August that we felt that it would be the low. We felt that it would be the most severely impacted by inventory reduction to that customers. And as you know, we operate both the first tier place directly with Boeing and Airbus. And also a second tier place, in terms of some of the engine parts that we supply to the engine manufacturers. And so you get an increased inventory effect as you go through another tier in the supply chain. And that’s what we felt back in August and try to indicate before also calling out back then that we felt as though the majority of the severity of the inventory reduction. We would try to accommodate and work with our customers to accommodate you sooner rather than later, rather than have it drag out in a long tail. And we are clear that – we’re not completely through this, it’s going to continue and we’ll have an impact into the fourth quarter and in some areas into the early part of 2021. And that’s taking to accounts, the plan increase in Airbus narrow-body sales. We are not taking that into account at this point. But we do feel that revenues will improve in the fourth quarter. And that gives us the platform that we always sought to really get 2021 framed as best as we could. And maybe talk at amplify that point, we set out back in the depths of the as quick tug of war back in the second quarter, where we didn’t know very much. But our target was to move quickly and to address the problems that we saw coming from the commercial aerospace markets. And target that we would ambitiously try to achieve the exit rate EBITDA margin in that 20% area. We indicated that, clearly, feel confident enough now that we increased the midpoint of that fourth quarter guidance a little bit, and feel solid around that. And that was really to try to give the best view we could as the exit rate, which obviously helps when we view 2021 profitability. Albeit, today we’re not guiding at all, either for revenues or margins for 2021, that really is fourth quarter call at the end of January, early February. So we are confident that the third quarter, it was low. We do see revenues in the fourth quarter, increasing – and increasing not just in commercial transportation, which is self-evident, but also in commercial aerospace for us, part of it is the – just the natural rebound from the in-vitro takeout in Q4. I mean, where we go from here? And there’s so many things that we need to think about for 2021. And you look out a year from now, clearly, you’ll know a lot more three months from now, whether it’s this morning’s vaccine news or whether it’s our narrow bodies, as strong as we see has max been completely recertified around the world and what’s the build rate and build rate going into 2022. And it was the inventory bill to accommodate all of that. So there are so many factors, but I say, maybe I’ve spoken too long enough, but it’s really is comprehensive. The third quarter is still low. And we are going to see that defense strength continue in IGT strength into the fourth quarter rebound in commercial aerospace sales, and commercial transportation currently with the wind behind its back in terms of volumes from our customers for commercial trucking and trade manufacturer.
Robert Spingarn: Do you see commercial aero trending up sequentially quarter by quarter from here, at least from the down 56% in Q3?
John Plant: I’m not going to go beyond the fourth quarter at this point. I don’t feel as though, I know enough to really give clarity publicly about the quarter sequential production through next year. I think we need a little bit more knowledge. I’m hoping that the production of Boeing begins to increase next year for the narrow-body, not expecting anything from wide-body. And we await confirmation as the Airbus situation in terms of solidification of that in production schedules, which Airbus did announce their increased up almost 20% in narrow-body production in the halfway through next year. So I feel good that we see an improvement in the fourth quarter mapping out 2021 and what happened in each quarter is just a bridge too far for us at this point.
Operator: The next question will come from David Strauss with Barclays. Please go ahead.
David Strauss: Thanks. Good morning, everyone.
John Plant: Hi, David.
David Strauss: John or Ken, I wanted to go back on your comments on working capital, I think prior you’ve been calling for working capital, but to be a tailwind this year, but it sounded like, now you’re talking about maybe it being a headwind for the full year, but then some inventory release in 2021. So if you could clarify that, and then, I guess, any sort of early indication or early look in terms of how you’re thinking pension next year. Thanks.
John Plant: So maybe, if I start at a top level to say, why we see working capital recorded differently is to be used this year. And then I'm going to hand across to Tolga to talk a little bit about dropped inventory, what we have this year and then into next year. So let's do in that sequence. And let's say I cover the two points, which is, why used this year and then the pension side. And pass-across to Tolga. So, the use essentially is that AR securitization paid out. It goes through – its fixed working capital and it goes through that line on the cash flow statements. If you exempted the AR of 95 million, then there would be a working capital inflow for the year. So it's a function of the accounting around the securitization. One thing David that I've always felt a little bit uncomfortable about this, we had this off-balance sheet financing which was a carryover from Alcoa. The 2016 separation, a carryover from the Arconic separation, carried that securitization into – which is always been the main curve and wanted to gradually work that down, which is effectively just working down of our net debt of the company and feel that's a good thing to do. And it also improves the interest carrying cost of the company, so that's the principle reason around it. And if you were to do that, you'll see AR improving AP under good control and our inventory is being reduced. So the normal definition of working capital would be in good shape, and it's just a function of this AR securitization paid out, which goes to the working capital line. I will comment on pension and pass across to Tolga. So pension, at the moment, we do see that – the thought basically is that 2021 will be lower. And then 2020 in terms of pension contributions, we'll give you a more exact number on that at the time we announce our fourth quarter results, say early Feb. Tolga, if I could ask you to comment on dropped inventory, both through our Engine and Fastener segments and also the move into 2021.
Tolga Oal: Sure, John. It's important to highlight that we are reducing our inventory and we are supporting the cash generation. However we feel looking at the scale of the reduction set this stranded inventory in-hand, did they saw in-hand translation, yes naturally under pressure. So the two segments that had the highest pressure on the stranded inventory are our Engines and Structures businesses. So I mentioned that we are working very closely with our customers to level load the demand and the production levels, especially on the Structure side, especially on the long peak time orders. And therefore we project that this stranded inventory will continue into 2021, and we should be balancing curtails on hand within 2021. We are managing also the stranded inventory on the Engine side. And we have some more adjustments if we are working with our customers, but we expect that impact to be much smaller. And we got minimal impacts for the segments like Fasteners on the stranded inventory side that we are actively managing today.
David Strauss: Great, thank you very much.
John Plant: Thank you.
Operator: The next question is from Gautam Khanna with Cowen, please go ahead.
Gautam Khanna: John, if you wouldn't mind opining on kind of the pricing opportunity in 2021, 2022 and 2023. At the Investor Day, you gave kind of a longer term outlook, and I wonder how that's changed maybe relative to 2020’s actual price realization, if you can give us any flavor for that. That'd be helpful. Thank you.
John Plant: Okay. Thank you. Well, first of all, let me comment on 2020, it's not complete. And you saw the third quarter comparative to the second quarter, the solidification and completion of those – there was a grievance for 2020, so all done. Regarding 2021, the several LTA is involved as always as you know they are different customers, different years, different products, as they all separate. The dialogue as you know covers price, share, share of unique technology programs and, also terms and conditions. I'm pleased with progress so far on 2021. There are a couple of major ones within 2021. And basically I'm going to say to you that everything that we are seeing is going to be consistent with what I've said before, that 2021 will be on the same volume basis a bigger year for us than 2020. This of course plays well into – as you go into 2022 and 2023 when hopefully commercial aerospace volumes get to show increases and hopefully significant increases. And so those increases – price increase do get applied to the higher volume sales. If I look at the current status for 2021, we're currently about 60% complete. So we're probably a little bit earlier than normal in engaging this item through. I expect that will continue to fill-in over the next few months. But the important thing is 60% of what 2021 is now not complete upside. And in 2023 – 2022, I don't believe that will be as bigger year as 2021, but there's not much color I'm able to give you yet on 2022 and 2023 apart from we still see ourselves in the positive side.
Gautam Khanna: Thank you very much.
John Plant: Thank you.
Operator: The next question will come from Carter Copeland with Melius Research. Please go ahead.
Carter Copeland: Hey, good morning gentlemen.
John Plant: Hey Carter.
Carter Copeland: John, I wondered if you could maybe just clarify the share comment you made earlier, the 1.5 times does that imply a 60-40 split and if that's not right if you could correct that for me. And then I just wondered if you might kind of give us a sense of hot section versus cold section, you went to great length talking about the capabilities on the hot section air foils. And I just wondered if you could around that share disclosure, give us a sense where in the engine that might be higher or lower than the aggregate. Thank you.
John Plant: Okay. When we exited 2019, our share was – the airfoil market was around about 49% plus or minus 0.5% or 1%. Next largest competitor was, it went around 32%, 33%, so it was about 50% greater than next largest competitor. So at an RMS basis, that’s on market share basis, we’re 1.5 times. If you break it down, then our market shares would be higher at the first few blades in the turbine. So we'd be at the hot or super hot end of the – at the turbine where our market shares would be excited. So the purpose of this call in excess of 60% in that area and more. And depending upon the application could be as much as a 100%. So, that gives you some idea of the market share – relative market share and topology within the engine.
Carter Copeland: Great. Thank you for the color.
John Plant: Thank you.
Operator: The next question is from George Shapiro with Shapiro Research. Please go ahead.
George Shapiro: I was wondering in your raise for the year, was that mostly due to how much wheels has recovered and aerospace was comparable to what you saw last quarter, or if you could provide some color on that? And then also the incremental margin on a sequential basis in wheels was like 49%. I mean, what's kind of a sustainable incremental margin for that business. Thanks very much.
John Plant: Okay. First of all, clearly, wheels is a benefit to us as we move Q3 into Q4. That is not the sole reason for the improvement in the EBITDA margin guide. We're also seeing a benefit in saying that commercial aerospace business. So it's really in all aspects of the business. There's nothing which is currently lagging in our plans or any of the implementation as the cost flexing, no structural cost takeout. So it's across the board. But clearly within that, when I look at and the strengths of the wheels businesses is coming through. And I'm hopeful that our EBITDA as we go – we start up in 2021. We'll be getting close, or if not as good as the 2019 margin rate, even though we know we will not see some revenues in 2021 as good as 2019. In the last earnings call, I did state that we saw revenues in that business, getting back to the 2019 levels in 2022. But I think we are looking forward to margins getting there back to the year earlier than that, given the structural cost takeouts and cost flexing. And basically improved in cost base that we have. 
George Shapiro: Okay. Thank you very much. 
John Plant: Thank you.
Operator: The next question will come from Josh Sullivan with Benchmark Company. Please go ahead.
Josh Sullivan: Hey, good morning, John and Ken. Just the question on fasteners, you mentioned some weeding out of unprofitable products. How much volume did that include? Have you outright exited at any aerospace products in particularly just some color there would be great?
John Plant: First of all, let me backup and give Tolga bit of thinking time on the Fastener side where – but the exit of the – what we talked about the unprofitable contract, we haven't called out the segment of particular interest. It wasn't fasteners. We're in, I think largely good shape. There's always things you can do to try to look at certain things which are below the performance. But basically this was the agent of something which was loss making and needed to be dealt with to, I didn't want to carry that problem going forward. But maybe as a broader comment on fasteners probably if you'd like to see – where we see basically apart from one or two areas we are fairly good shape.
Ken Giacobbe: Yes. I just would like to clarify that. My comment about beating out was on the structure side if your contract is we are in renegotiating our pricing. And in general, it has been very positive for structures and certain part numbers they were historically not good. So it'd be continuously shows the option not to renew those parts. It's in the big picture and that's significant for us and beneficial for the business. And specifically talking about the fasteners, our contract negotiations are going very positive and the renewables have been very good. And we do not really have any specific action to specifically looking to big numbers of contracts that are given us margin issues. But again, overall it has been a very positive contract renewable for all of our segments, including structures, fasteners, and engines.
John Plant: Is it covered that Josh?
Josh Sullivan: Yes. Thank you. 
John Plant: Thank you.
Operator: [Operator Instructions] And the next question will come from Paretosh Misra with Berenberg. Please go ahead.
Paretosh Misra: Thank you. And thanks, John and Ken for all the color. Actually I had a question for Tolga, if I may. Tolga, you've been with the firm now a bit hunger. So just curious, any initial impression as to what you have seen and what are some of the opportunities for the firm that you see ahead? Anything that surprised you? Obviously, very unusual time to start a new role, but would appreciate any thoughts that you could share with us?
Tolga Oal: Sure. I think, I'd like to start with the comment that continuation of leadership at Howmet Aerospace is key for a success. So, I here being immersed and involved deeply in our businesses since my announcement at the Investor Day, just with the separation of scores and then the COVID-19 crisis. I have been leading to cost containment, cash preservation activities, driving key supplier and customer negotiations. And most importantly, I'd like to emphasize that I have been strengthening the fundamentals of the operating playbook that John is introduced to Howmet last year. And John and I have been working on this operating playbook for a long time. And we have a plan with John that we're rolling out step by step, and we are definitely seeing the results and the benefits of having our disciplines, training playbook in place that we continue rolling busier and real continual, so as our regular process going into next year as well. Does that answer the question?
Paretosh Misra: Yes. I appreciate that. Thanks. 
Tolga Oal: Thank you, Paretosh.
John Plant: Thanks Paretosh.
Operator: The next question is a follow-up question from George Shapiro with Shapiro Research. Please go ahead.
George Shapiro: Yes, John. I just wanted to pursue a little bit more of my questions. So is aerospace better in the fourth quarter than you thought it was going to be in the third quarter? And if so, in what way? Thanks.
John Plant: I suspect the benefit, I mean slightly better volumes than we'd anticipated. So we – so the revenue increase. So that it's not just the wheel. So it's a little bit better there. But that could also be done to conservative assumptions that we tend to do to roll with. I think the cost takeout that you’ve see both on the structural side about cost takeout, do you see that improve that'd be better. And then, probably even more important to create a bigger number than the structural cost takeout is our variable cost takeout, which we've never called out the absolute dollars, because I think reached the relevance about is the percentage and are you getting close to what we call the perfect flex. And we see ourselves flexing our cost base a little bit better, well, across all the areas, but in particular where the [indiscernible] commercial aerospace business. That flexing of the cost base has been at higher order than with – again plan for – again, partly because we tend to plan conservatively and then see if we can exceed it. So that's where it's at. I'm not saying that there is any increase in aircraft build or anything like that, that's not the case, but it could be in the fourth quarter more of the assumptions that we made. But at this point, we feel confident about the revenue lift that we've talked about and the cost takeout, and therefore, the improvement in the EBITDA margins that we've called out, because for us that's all about the platform we enter 2021 with.
George Shapiro: Thanks very much for the follow-up.
John Plant: Thank you.
Operator: The next question is a follow-up from Gautam Khanna with Cowen. Please go ahead.
Gautam Khanna: Thanks for the additional question. John, I was wondering if you could maybe frame for us or level set us on why the company is able to get pricing in what looks like a particularly stressed time for your customers. And is it a – is it sort of a rolling one-time mark to market on some of the contracts that Howmet inherited from the legacy companies maybe that were off commercial terms relative to your competitors, and therefore you just kind of reset the market maybe FX, energy, pass-throughs on metal, things like that weren't – you were taking too much risk on the legacy contracts relative to your competitors? Or is it in fact the customers wanting – recognizing the value you guys provide and just you're seeing price inflation in the end market? Because again, I'm just trying to square with what you guys said before your time as CEO. Arconic used to talk about price deflation as a reality in aerospace and used to have floating bar charts that showed it on your slides, and now we're talking about the opposite trend over an extended period in a downturn. So just if you could help square why that is still true? Thank you.
John Plant: Yes. I mean I'm not able to comment on predecessor management stance toward it. I originate from an industry which is called the, you know what I mean, which is probably more used to price deflation and the attempted commoditization of the input products for vehicle assembly. But even in there, when I always looked at it very closely, getting immersed in the technical capabilities and performance differentiation of the products, so, even there, for example, I don't believe the steering wheel on a vehicle is all steering wheels are equal. They're very different in terms of capabilities, cosmetics and quality delivered. So it really is trying to really understand the performance differentiation of the product. I'd like to believe that Howmet provides that not only in product quality and technology, but also in delivery performance and consistency with our customers. And I've always tried to work collaboratively with our customers to maximize the value for both of us. And so inherently, I've not thought of the aerospace parts marketing quite the same way as the vehicle parts market. I don't believe inherently that it is in a consistent price deflation or anything like that. I think there is product capabilities that most of the parts that are produced in aerospace are technological wonders in their own rights and achieve a level of safety and performance for the traveling public, which is quite extraordinary. And so, my hats off to everybody in the industry, but the second tier level and first tier level are obviously the plane manufacture themselves. But within that, I do think – I don't believe this is just any correction of the past. If there is a correction, it's just – we have cleaned up one or two contracts, which were, let's say, inappropriate item that's – and I tried to indicate that on an earlier comment on the call that I think we're now beyond that in dealing with such things, and that's why I called out the $8 million in the quarter in the normal operating results not as a special item. And then I just think it’s consistent application of those technical characteristics. So we're never resting, if you look at the some of the developments that we're making within our portfolio, both in terms of parts for radar or parts for engines, we are trying to advance them all the time, and I did try to call out in the descriptors of those things, which we truly tried to protect even to the extent of not buying a lot of the machine tools outside. So, that knowledge can't leak out into the wider market place. And so, when you go to that level of assets of making your own equipment, because it gives you that technical, I'd say, capabilities which we think is extraordinary, I think that does give you the ability to look at price and also the – I'd say the value produced at the scale with which we do that and I often think people underestimate scale within such things about the economics of production and also the methodology, which you can create the scale. So it's a long way of saying, I think the attitudinal stance is different. At the same time, I do recognize that there are parts that we are able to improve the economics on the parts that we do concede price to our customers. So, it's always a range and a good negotiation is always important that we had in place of equanimity where everybody is feeling good and the shares are settled and the prices are settled and then we move on for several years. And in the ground, we've just been implementing we're at further five years on the majority of our parts going forward. So that's again a good condition to be in. I've not commented about the adjustment for any percentage increases, I think that's not appropriate, neither I commented on shares [indiscernible] apart from, we are in the right zone that we thought we'd be in and I think – and everybody from ourselves and our customers were at a place of – in a good zone.
Gautam Khanna: Thank you.
John Plant: Thanks, Gautam.
Operator: [Operator Instructions]
John Plant: Thank you.